Operator: Good morning and welcome to the TransUnion's Second Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Aaron Hoffman, SVP of Investor Relations. Please go ahead.
Aaron Hoffman: Good morning, everyone, and thank you for joining us today. Hope that all of you remain safe and healthy. On the call today, we have Chris Cartwright, President and Chief Executive Officer and Todd Cello, Executive Vice President and Chief Financial Officer. We posted our earnings release and slides to accompany this call on the TransUnion Investor Relations website. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses and other items as well as certain non-GAAP disclosures and financial measures along with their corresponding reconciliations of these non-GAAP financial measures to their most directly comparable GAAP measures. Today's call will be recorded and a replay will be available on our website. We will also be making statements during this call that are forward looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release, in the comments made during this conference call and in our most recent form 10-K, form 10-Q and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statements. With that out of the way, my pleasure to turn things over to Chris Cartwright.
Chris Cartwright: Thank you, Aaron. And let me add my welcome and my best wishes that you and your families are healthy and beginning to enjoy a return to more normal activity in your life. At TransUnion, while our associates continue to largely work from home, we have begun to slowly reenter the workplace in a thoughtful and safe fashion. We've started to conduct small in-person meetings in our offices. In fact, Todd, Aaron, and I are together in-person today for the first time in almost a year and a half. In the U.S., we currently plan to gradually return to in-office work in the fall. Though with significant flexibility to capitalize on the benefits, many employees enjoy working from home. Now, I'd like to lay out the agenda for this morning's call. First, I will discuss some of the broad macro and TransUnion specific trends that we experienced in the second quarter as well as highlight some recent progress related to social justice issues and other areas where we can make a difference as an organization. Next, in the context of our unique market positions and approach, I will discuss two growth areas; consumer lending and the public sector, to illustrate several dimensions of this approach that have consistently resulted in outsized long-term organic growth. Finally I'll pass the baton to Todd to discuss our second quarter results in detail along with third quarter and full-year 2021 guidance. So, let me start with our second quarter performance. We posted very strong results as markets generally continue to rebound and our growth outpaced underlying market recovery on the strength of new business wins and a steady stream of new product innovation. Todd will discuss some of the specific revenue trends later as part of his remarks. In the U.S. where consumer spending has surged ahead of pre-COVID levels and consumers have substantial capacity to borrow, the recovery appears to be in full swing, although not yet complete. We expect additional recovery-driven upside in most of our U.S. businesses, particularly consumer lending, employment screening, collections and healthcare. At the same time, we believe that recovery in our international markets has only begun despite very impressive growth this quarter. In emerging markets like India, the Philippines, South Africa and much of Latin America, we see considerable upside as those markets improve over the next 6 to 12 months. Importantly, beyond market-based recovery we continue to deliver growth above our underlying markets. Todd will lay this out in greater detail, but you'll see that our multiyear growth stack in the second quarter clearly shows that the strong results we posted represent a combination of market recovery and organic growth. For instance, in the second quarter of the U.S., CreditVision and CreditVision Link grew almost 50%, well ahead of our strong financial services growth, reflecting the significant win that we've discussed in previous quarters. On our insurance vertical, which grew more than 20% in the quarter. We outpaced industry recovery on the strength of share gains and deeper penetration within our customers. More on our tenant and employment screening vertical where our focus on leveraging strategic tenant and screening partners have paid off and helped to deliver 30% growth in the quarter. We see the same sort of outperformance in our international markets driven by meaningful wins in every region, including new insurance and FinTech customers in Canada, new business with the U.K. government, strong CreditVision performance in South Africa, and new business with key lending customers in India. Given our strong second quarter and the increasingly positive macro environment, we have raised our full-year 2021 guidance again. Todd will provide you with the details shortly. Importantly, we remain confident in our long-term growth algorithm of high-single digit revenue growth at an expanding attractive margin with double-digit EPS spread. We also remain focused on how we conduct business and the positive impact we can have on our associates, our communities, and all of our stakeholders. To that end, we've increased our disclosure and established meaningful targets for workforce diversity and similar strategic imperatives to improve our business. For instance, during the quarter, we implemented a global supplier diversity procurement process. Also during the second quarter, a well-regarded third-party completed a global assessment of our energy and carbon footprint. We’ve provided the 2019 and 2020 baseline data on our website. Using this data, we will develop appropriate targets to reduce our environmental impact. We also launched a thorough materiality assessment to refresh our understanding of key stakeholders’ views about TransUnion. This will further inform our future disclosure and target setting. So, now I’ll pivot to discuss our long-term growth priorities. On our last call, I spent some time delineating TransUnion’s differentiated market-positioning approach which fuels our long-term growth algorithm. Let me quickly review each of these differentiators. First, we've taken an innovator and attacker position across our markets and built a track record of delivering outsized unit growth across markets we serve by disrupting - through disruption and market share gains. In addition to our attractive market position, we have a proven scalable enterprise growth playbook. Based on the foundation of customer and consumer insights, we've developed a repeatable approach to client engagement, product innovation and adjacency expansion. We complement the growth playbook with powerful proprietary and third-party data assets. In addition to our traditional attractive position in consumer credit data, we have developed an array of alternative data assets to serve core in high-growth use cases. Next, our industry-leading technology remains a competitive advantage. I've regularly discussed our proven track record of delivering on large scale complex technology initiatives as well as Project Rise, our current program to make TransUnion’s technology more scalable, secure, efficient and effective, and to keep us on the cutting edge of cloud computing and information security. And finally, underpinning these market positions, our culture emphasizes customer focus and partnership. We've built a company that understands the needs of customers and consumers and can deliver best-in-class solutions to meet those needs. We also balance the sense of humility with a deep inner drive to be successful and accountable while also taking a collaborative approach both internally and externally. So with that review as a backdrop, I want to provide a deep dive on two growth vectors, consumer lending and our public sector vertical. Now, candidly, we could have chosen for many other vertical solutions or geographic markets. We chose these two as a - to industry how we take an attacker position in attractive markets, also how we utilize the go-to-market approach in our growth playbook, and how we leverage data assets across the company. So let's start off with consumer lending which includes a number of lending in markets such as FinTech, short-term lending, point-of-sale, and buy now pay later. Our total consumer lending business has generated about $200 million of annual revenue in recent years, running above that mark in 2019 and dipping below in 2020 due to the impact of the pandemic. Given our current trajectory, we expect to set a new high watermark above $200 million this year. FinTech represents the largest portion of the consumer business at about 50% of revenue followed by short-term lending at about 25% of revenue. Point-of-sale and now buy now pay later lending, while growing quickly, account for a low-single digit percentage of the consumer lending business. For my discussion today, I'm going to focus primarily on the FinTech portion of the business given its size and growth characteristics. From 2017 through 2019, FinTech revenue increased about 55% and then declined in 2020 as a result of the pandemic. We expect to see another significant leg of growth this year as the market rebounds and we benefit from recent share gains. TransUnion has a strategy of looking for the next major innovation in financial services, and we stay close to industry participants as well as venture capitalists to develop our viewpoint. More than a decade ago, we identified the burgeoning FinTech market as a significant opportunity. We developed a strategy that continues to this day, to engage early-stage FinTechs, partner to go to market quickly with TransUnion-enabled risk, fraud, and marketing solutions, and then support their expansion with thought leadership, industry expertise, and innovation. To formalize this approach, we created a FinTech startup kit making it as easy as possible for new players to enter the market using our data, our models and our expertise. As winners emerge, we’ve positioned ourselves as their primary and frequently exclusive bureau partner. And that leadership position continues today as we remain the primary partner to the majority of FinTech lenders. As we help enable the growth of the industry, we learned from our partners, allowing us to refine our strategy and solidify our leadership with new and existing customers. We now have a formal FinTech advisory board that has played a key role in new product development either by existing ideas or helping us to define our own. For example, based on input from our advisory board members, we developed a number of prescreen and prequalification solutions to enable FinTechs as well as our core financial services customers to provide more relevant credit offers to more consumers with increased convenience. Going back five years and based on feedback from our advisory board, we created our innovation lab to bring customers onsite for an immersive process to solve a specific problem or develop a new model leveraging the full range of our data capabilities and expertise at TransUnion, all enabled by our 2016 Technology Transformation Project Spark, since we've had tremendous success using Innovation Lab to deepen and strengthen customer relationships with FinTech lenders as well as our core financial services partners and have expanded recently to engage with insurance customers. The other strong relationships are innovation, particularly credit vision and credit vision link has played an important role in solidifying our leadership position. Going forward, we have a significant opportunity to drive growth through greater penetration of fraud, marketing and direct-to-consumer solutions. Our leadership position has also helped us develop a differentiated file as we see such a high percentage of consumer imports. As you would expect, all three bureaus capture the trend line data when a lender issues a loan. However, only the bureau providing data for the application sees the inquiry. Given our broad coverage in this space, we see a disproportionate amount of the inquiries, which helps in two ways. First, customers can drive insights about consumer behavior if they see a pattern develop. And second, comprehensive inquiry data helps us identify loan stacking fraud and other key risk factors in a way that our competitors cannot match. As we look forward, despite our exceptional growth and strong share position, we expect considerable more growth in the future. First, as I mentioned earlier, we have meaningful opportunities to deepen our penetration with our customers in fraud mitigation, marketing, and direct-to-consumer initiatives. Second, FinTech players continue to diversify from mono-line lending into multi-line lending, and we advise many of them as they enter areas like car, auto, and mortgage. Third, broadly within consumer lending, while small today, we see buy now, pay later, and point-of-sale lending as attractive growth factors. We've taken the same approach with these lenders as we did with FinTechs in their earlier days and have enabled - and helped to enable their success. We started with fraud solutions, and it pivoted to more traditional credit offerings as we capture significant portions of their traffic just as we did with FinTech. In addition to these opportunities in the U.S., we also have a meaningful business internationally with substantial growth potential. Year to date, FinTech represents about 13% of total international segment revenue. But has accounted for roughly 25% of the segment’s growth. The U.K. has the most developed international FinTech market and it accounts for almost 60% of our international FinTech revenue. The next largest markets include India and Canada, followed by Hong Kong, Brazil and Colombia. We also have nascent businesses in South Africa and the Philippines. Interestingly, FinTechs in these markets have a more diverse portfolio addressing opportunities to the shop and offer differentiated consumer experiences across not only traditional lending and buy now pay later, but also digital banking, payments and retail investing. This gives us the opportunity to address a more diverse set of FinTech sectors in international. In cross-sell, a broader range of offerings to this customers. Our ability to rapidly identify the most attractive FinTech segments in markets within our international footprint and to effectively deploy our innovations like CreditVision, TruValidate, and Innovation Lab in these markets has helped us to build strong share positions just as we have in the U.S. Taken together, our U.S. and international FinTech positions represent a significant and fast growing part of our portfolio and should drive meaningful growth above the total company and segment rates in the years to come. Now I'd like to turn to our public sector vertical, which we formalized in 2015 to build off of a fledgling position that we had built more incidentally than deliberately. At that time, we had less than $10 million of government-related revenue spread across a number of our businesses but with no clear owner or strategy. Now, taking our assets and capabilities, we had a clear way to participate in this large attractive market, and in 2015 began the process of building out public sector as a stand-alone vertical utilizing our proven growth approach. First, we hired a dedicated leader, Jonathan McDonald, with deep industry expertise and gave him full P&L responsibility. Jonathan built up his team with dedicated government specialists from 19 associates in 2016 to 52 today. This team identified and prioritized the best opportunities for TransUnion which led to a two-pronged go-to-market strategy. The first part entailed identifying partners who could provide immediate access to various public sector business, allowing us to build the foundation and establish our brand. The second part involves playing the long game of gaining authorization to participate in government procurement processes directly to win business at the federal state and local level. Five years later, we’ve developed an impressive group of partners that help us access local state and federal opportunities and we’ve position ourselves to win business directly with all levels of government including higher education. Now, along with developing a market strategy, the team identified our existing solutions that could most readily fit this market need. In fact, we've never had to build a new solution specifically for public sector. We see that as a real positive that we can readily repurpose the assets within TransUnion and leverage them within a new vertical. This improves speed to market and lends itself to a higher-margin outcome as we don't have significant build-out cost. Now, while we've entered a number of areas, three solutions have driven a preponderance of our growth in the public sector. First, we leveraged our suite of thought in identity solutions to allow agencies to authenticate consumers interacting through existing online channels. Unsurprisingly, we saw significant surge at both the state and federal levels during the pandemic and demand continues today. We also see further opportunity as the Biden administration launches new programs to provide support to various constituents. Second, we utilized our broad array of powerful data assets delivered as a portfolio review for insider threat monitoring. Using this solution, we can help agencies that provide high-level security clearance, continuously monitor their workforce, and for any indication of financial distress or criminal activity as either can indicate heightened risk of an employee being compromised. And third, we combined our collection’s prioritization tools and our leading industry insights around right party contact data to help states efficiently pursue parents who have failed to pay or continue to avoid paying child support obligations. This allows our customers to allocate the limited resources in the most effective way to maximize recovery of child support. All of this good work has resulted in rapid growth and we will approach $50 million in revenue this year. As we look forward with the clear path in this vertical to topping over $100 million in revenue. The next leg of growth will continue to leverage the approach I've just described and that starts with further penetration across the customer base as we built our reputation and develop a track record of delivering high impact solutions. We have positioned ourselves to bid on and win larger contracts and to connect business with states as well as new agencies at the state and federal level. We’ve also launched a professional services offering for our customers where our experts assist with integrating, onboarding and managing our solutions to ensure a quick and effective start to contracts as well as heightened customer satisfaction. And we've launched a supply chain risk solution, as many agencies worry about subcontractors or other vendors become a weak link in the security chain or smaller subcontractors going out of business. We've leveraged our market-leading linking and matching capabilities to develop solutions that support both national security and business continuity. And finally, we see an opportunity to help agencies that provide critical benefits to constituents, better market their availability to ensure that those in need of help receive it. To that end, we continue to explore leveraging the digital marketing capabilities that we've developed. So, the stories of consumer lending in the public sector illustrate two of the many growth vectors in TransUnion. And while they've realized exceptional growth, we have great conviction that they will continue to grow on a similar trajectory in the future, helping to fuel our long-term growth algorithm. And so with that, let me turn the time over to Todd to walk you through our financial results and our second quarter and full-year 2021 guidance. Todd?
Todd Cello: Thanks Chris. We knew entering the quarter that we would see our easiest comparisons of the year and thus, likely our strongest quarterly performance. As Chris discussed, that was the case at most of our businesses declined in the second quarter of 2020 as we all grappled with the most severe impacts of the pandemic. And as expected, almost all of our businesses posted very strong growth in this quarter as markets continue to recover. We continue to monetize these business wins across our portfolio, and we benefited from easy comparison. In order to help you appreciate the long-term trends and the above-market performance in the current quarter, I think it's instructive to look back at our growth in the second quarter of 2019 and 2020. Doing so helps make more sense out of the very large increases we posted across the business this quarter. To that end, this slide shows you how we performed in the second quarter of this year for the same quarter over the past two years. The conclusion is that we have delivered attractive growth above the underlying market including the outsized recovery this quarter. This holds true for almost every segment, vertical, and region. Now, let me take you through our performance starting with our consolidated results. And for the sake of simplicity, all the comparisons I discuss today will be against the second quarter of 2020 unless noted otherwise. Second quarter consolidated revenue increased 22% on a reported basis and 20% in constant currency. The Signal and Tru Optik acquisition had just about one point of impact. So, organic constant currency growth was 19%. Excluding mortgage, which represented about 13% of total revenue in the second quarter from both the second quarter of 2020 and 2021, our business grew 21% on an organic constant currency basis. Adjusted EBITDA increased 31% on a reported and 29% on a constant currency basis. Our adjusted EBITDA margin was 41.1%, up 290 basis points compared with the year-ago quarter driven primarily by the significant revenue outperformance. Second quarter adjusted diluted EPS increased 46%. This was largely driven by strong adjusted EBITDA growth and the benefit from reduced interest expense related to our debt refinancing, prepayment, and lower LIBOR, as well as a slightly lower adjusted tax rate of 23.2%. I also want to address one other item as it had a significant impact on our reported EPS what was backed out of our adjusted EBITDA and adjusted diluted EPS in the same way we accounted for the reserves that we previously booked. During the quarter, the United States Supreme Court reversed the circuit court opinion related to a class action suit called Ramirez v. TransUnion LLC. As the court reduced the size of the class by more than 75%, and remanded the matter back to the lower court for further proceedings, we reduced our reserves by $32.4 million. Now, looking at segment financial performance, U.S. markets’ revenue was up 20% compared to the year-ago quarter. The two media acquisitions had 2 points of impact on revenue. Excluding mortgage, organic revenue grew 22%. Adjusted EBITDA for U.S. markets increased 22% as reported and 24% on an organic basis. Adjusted EBITDA margin improved by 100 basis points, largely as a result of the strong revenue growth, partially offset by our continued strategic and operational investments and the cost to integrate and scale our recent media acquisitions. Diving into the results by vertical, Financial Services revenue grew 22% and was up 35% excluding mortgage. Notably, consumer lending, auto and credit card each delivered very strong results. While mortgage slowed significantly on a year-over-year basis. Looking at the individual end markets, consumer lending surged on the strength of historically strong credit applications and marketing activities, which disproportionately benefits TransUnion, given the strong leadership position Chris outlined. Lenders have aggressively stepped up their customer acquisition activity as consumer spending has increased. With that said, there are still more upside ahead once credit card balances return and debt consolidation becomes more attractive. Likewise, short-term lenders are just beginning to see significant recovery in buy now pay later and point of sale continuing to grow. We also had a very strong quarter in our credit card business, with similar customer behavior in FinTech lending resulting in a high watermark for applications and marketing activity. Notably, we recently saw a top five U.S. card issuer where TransUnion is a primary provider of credit services switched away from FICO scores and replace them with VantageScore. This one - this may set the stage for other lenders to follow suit. Other markets continue to be solid despite constrained new car inventory. We have benefited from meaningful demand recovery in the subprime segment since the beginning of the year, where TransUnion had a strong share position. We also continue to see strength in prequalification solutions as more consumers shift to digital commerce. And for mortgage for the full year, we continue to expect the market to be roughly flat Continuing to expect the market to be roughly flat, in flat with our previous view. However, with volatile rates and purchase market strain due to a lack of inventory and correspondingly higher prices, we continue to anticipate year-over-year declines in mortgage for the remainder of 2021. Let me now turn to our emerging verticals which grew 17% on a reported basis and 13% excluding the revenue associated with the two media vertical acquisitions. We saw strong double digit growth in almost all of our major verticals. Public sector, as Chris discussed in depth, remains a very strong growth sector for TransUnion and continuing to deliver outstanding growth even after an outstanding 2020. Even as most government operations continue business as usual, we also continue to identify new opportunities born from the pandemic and changing policies and new programs from the Biden administration. Added an employment screening was very strong particularly for tenant screening as we benefited from our expanded partnerships with large growing rental screening firms using our Smart Move solution. We also won a meaningful contract with a large partner to provide income and employment verification for rental screening. We expect employment screening to continue to pick up momentum as the U.S. returns to full employment levels. And our media vertical continues to deliver attractive growth even as we sign new accounts. One to note is our partnership with OpenAP, a consortium of Fox, NBC Universal and Viacom CBS. OpenAP aspires to build an industry standard ID that incorporates a broad range of streaming signals to help advertisers build targeted audiences and measure impact Tru Optik data underpins and enable this identifier, so we are well-positioned to grow with OpenAP and other media companies like Blockgraph Comscore, and MediaMath as they roll out their own identifiers and grow. We also saw insurance deliver a very strong quarter behind a brisk pace of business win for our expanded set of solutions such as DriverRisk, National Driving Record Solution, CreditVision, Prefill, and TruValidate. We are also starting to see traction on the digital marketing side, similar to what we're seeing in the financial services, and winning new business on the strength of our Tru Audience platform. And finally, our healthcare vertical, revenue was down slightly but we continue to see front-end volumes improved and monetized quickly. As we’ve discussed in the past, front-end volumes take three or four months to flow through to the back end of our business which is roughly twice the size of the front end. In the second quarter, we realized the highest level of new business wins in our history, setting us up to return to growth in the second half of the year and further positioning us for a good 2022 as the market more fully recovers. Consumer Interactive revenue increased 6% driven by growth in the direct channel. Adjusted EBITDA was up 5% as we continue to increase marketing in the direct channel during the quarter. That marketing helped drive low-double digit revenue growth in our direct business and a solid increase in our subscriber base. Consumers value our credit health and identity protection services. Our indirect channel returned to growth as lenders have increased their marketing activity and we continue strength with partners who provide identity protection for consumers. For my comments about international, all comparisons will be in constant currency. For the total segment, revenue grew 32% as we saw trends improve in most of our regions. Adjusted EBITDA for international increased 75% as a result of the strong revenue growth and particularly easy comparisons to the year ago quarter. Let me dig into the specifics for each region. In the U.K., revenue increased 20% as lending markets continue their march back to pre-COVID levels and strong growth persisted in other markets like fraud and online gaming and gambling. And of note, we won another meaningful but largely one-time contract with the U.K. government to help consumers re-engage in more normal work social activity. Our Canadian business grew 25% in the second quarter as lending market slowly recovered and the business benefited from considerable portfolio diversification in fast growing areas like insurance, fraud, direct-to-consumer and FinTech. During the quarter, we also benefited from some one-time breach remediation business as we have over the past several years. In India, we grew 54% despite the negative impact of lockdowns in April and May. We ended the first quarter with lending markets nearly back at pre-pandemic levels, but that was short lived as the lockdown refocused consumer attention from shopping and borrowing for their health and welfare. As the surge abated, we saw lending markets steadily recover in the second quarter, though, a significant upside likely to come over the remainder of the year. At the same time, our diversified portfolio continues to offer a buoyancy and a difficult environment. We continue to see strength in commercial credit scoring, government programs, and fraud mitigation. We also expanded our thought leadership series, TGIF or TransUnion Great Information Fridays, to include CFOs and CMOs for the first time, deepening our already strong customer relationships. We also partnered with Google to deliver a report that provides trends and insights on the increasing reliance of consumers on the Internet for purchasing credit products caused by the unprecedented rise in digital adoption. In Latin America, revenue was up 46% in the strength of double digit growth in our two largest markets, Colombia and Brazil. Many of the smaller countries in Central America have returned to growth, and we expect significant additional recovery in the quarters to come. In Asia Pacific, we grew 27% driven by continued recovery in our largest market, Hong Kong, as well as positive momentum with our re-launched direct-to-consumer offerings and business wins with lending customers. Finally, Africa increased 37%. In our largest market, South Africa, the economy has started to show signs of improvement with expectations for annual GDP raised to 4.3% despite the slow pace of vaccination. Our business has seen continued strength of CreditVision insurance-related solutions. One of the many strengths of TransUnion is our balance sheet and our ability to rapidly generate cash. This provides us with consistent optionality to make the best decisions for the company and our shareholders. We finished the quarter with $526 million of cash on the balance sheet. At the same time, our net leverage ratio continue to decline from 2.7 times at the end of the first quarter to 2.4 times at the end of June. With our strong balance sheet, we remain in a good position to continue to proactively pursue additional attractive investments, which remain an important part of our long-term growth strategy. That brings us to our outlook for the third quarter and the full year. Starting with third quarter revenue, we expect slightly less than 1 point of M&A contribution from Signal and Tru Optik, as well as a 1.5 point tailwind to revenue from FX and we expect 1.5 points of benefit to adjusted EBITDA from FX. Revenue is expected to come in between $766 million and $777 million or a 10% to 12% increase and organic constant currency revenue growth is expected to be up 8% to 10%. Embedded in our revenue guidance is an approximate 4 point headwind for mortgage, meaning that the business would grow 12% to 14% excluding mortgage on an organic constant currency basis. Adjusted EBITDA is expected to be between $301 million and $308 million, an increase of 12% to 14%. Adjusted diluted earnings per share are expected to be between $0.91 and $0.93, an increase of 12% to 15%. And for the full year, we expect 50 basis points of benefit from M&A and 1.5 point tailwind to revenue from FX. Revenue is expected to be between $3.034 billion to $3.059 billion, up 12% to 13%. Our guidance includes 1.5 to 2 points of headwinds from mortgage for the full year. To help with your modeling, we currently expect mortgage to be a 3 point headwind in the fourth quarter. For our business segments, we expect US markets, financial services and emerging verticals each be up low double-digits. Excluding the impact of mortgage, U.S. markets would be up mid-teens, financial services would be up high teens. We anticipate that international will grow more than 20% on an as reported basis and we expect consumer interactive to be up low single digits. Adjusted EBITDA is expected to be between $1.207 billion and $1.225 billion, up 16% to 17%. We expect 1.5 points of benefit from FX. We expect our adjusted EBITDA margin to expand 130 to 160 basis points this year, even as we continue to aggressively invest in the business. Adjusted diluted earnings per share for the year are expected to be between $3.63 and $3.70, up 21% to 23%. At this time, we have no material update to our other guided items about tax rate, G&A, interest expense and capital expenditures. They remain the same as what we have provided on our year-end earnings call in February. I’ll now turn the call back to Chris for some final comments.
Chris Cartwright: Thanks Todd. And to conclude this morning, we took you through a strong second quarter and a much more bullish outlook for the full year based on significantly strengthened macro trends across most of our markets. And we highlighted two large growing market positions that have helped propel TransUnion to best-in-class growth since our IPO and which we believe will allow us to remain on that growth path. I'll end by reiterating my hope that all of you and your families remain safe and healthy. And with that, I'll turn the time back to Aaron.
Aaron Hoffman: Thanks Chris. That concludes our prepared remarks. For the Q&A, we ask that each of you ask only one question so that we can include more participants. Now, we'll take those questions.
Operator: [Operator Instructions] Our first question comes from Manav Patnaik of Barclays. Please go ahead.
Manav Patnaik: I just had a question around, you know, your comments you made around actively pursuing attractive investments just given the healthy balance sheet. Like I guess how should we think about that? Is that mostly organic or should we start seeing - and if it is, should we start seeing some buybacks or is there still active M&A pipeline out there?
Chris Cartwright: Yes, hey Manav good morning. This is Chris. It’s really both areas. I mean, certainly we had accelerated our organic investments in new product development. We've built out talent under the umbrella of our Global Solutions organization focused on our key and common solutions that we offer across the full enterprise. We've increased the number of Scrum teams or technologies on our product development, and then we're accessing and investing in more data. In addition, as we have migrated, this global operating model and we're investing and improving different components of our operations, we’ve put more dollars toward our project to streamline and standardize our operational processes around the world and to implement a new state-of-the-art CRM and order management platform. We've boosted advertising in our direct-to-consumer business. And in general, we have also increased our technology investment outside of that which we add back related to project rise. Now, to the second part of your question, I mean, as you know, it's a very robust and active M&A market. We - as we say in every call, we continue to be engaged in the market evaluating different opportunities for TransUnion. And we'll be there as appropriate opportunities arise. I think Todd wanted to add a few things.
Todd Cello: Yes, hey Manav. Thanks for the question and I'll just speak a little bit more specifically about M&A. So as you've seen, our leverage ratio has ticked down to 2.4 times at the end of the second quarter. That's the lowest mark since our IPO in 2015. So clearly that provides us with a significant amount of balance sheet capacity. In addition to that, we feel really good that we have access to the capital markets at very attractive terms. And I would say, in my 20-plus years with the company that I've never seen a pipeline of deals that teams working through right now. And I guess what I would say to that too is, this is aligned to the strategy that we've talked about continuously. First being, we're always out on the lookout for data assets to create a fuller and more comprehensive profile on the consumer. We're always looking for new capabilities for our vertical markets. We're always looking to get into new markets, whether that's adjacencies onto our existing verticals or its new international markets. But the one thing I'll leave you with is that, we remain very disciplined in this environment, especially due to the elevated asset values that are out there.
Operator: The next question is from Jeff Meuler of Baird. Please go ahead.
Jeff Meuler: Yes, thank you. I'm hoping you can talk through kind of new product sales trends in international markets. It sounds like it's been good in the U.S. for a while. And I'm wondering how unique that is with the bank balance sheet strength, the stimulus, the level of competition? And I guess what I'm trying to parse out is to what extent the international revenue trends on a two-year basis is more a reflection of just a delayed an market recovery or if new product sales have been as good there as they've been in the U.S.?
Chris Cartwright: Yes good question. So, for quite a few quarters now, we’ve commented on the strength of our new product sales in the U.S. and I believe, internationally too. And I guess, the short answer to the question is, they've been just as strong internationally as they have been in the U.S. As we said before, there is a great deal of sharing of sales practices and product positioning expertise and the like that takes place between the countries and the portfolio and the respective verticals, as well as our go-to-market sales discipline. I think we’re looking to accommodate that strong products having vertical leaders who understand the industry and are tuned to the current needs of the market and continually investing to improve our go-to-market practices that's allowed us to notch a lot of sales wins. And again we talked, I think in the depth of the pandemic about how we launched Project Eliminate. The origins of that project actually began in the international markets, and then it became an enterprise-wide effort. So, we've had really good success, and I think you can see in our results that we're starting this year to show the revenue benefits of the wins that we notched last year. With all that said, Jeff, obviously, the rebound in the markets helps a lot. The strongest rebound we experienced was here in the U.S. That's a function of the availability of the vaccine. And as we've talked elsewhere, a lot of our international markets are in [technical difficulty] the pandemic and are now only beginning to recover. We think that's a good thing for us in the intermediate term.
Operator: The next question is from Andrew Steinerman of JPMorgan. Please go ahead.
Andrew Steinerman: I wanted to jump into slide number 6. I do appreciate you helping us to understand your mix of your portfolio in consumer lending. And I truly understand that the slide was divided between FinTech lenders on the right and non-FinTech lenders on the left. But just help me understand what's going into these short-term lending categories versus all other -- like where is credit card? And also, when you look at the $200 million on this slide, what percentage of this slide is in U.S. mortgage?
Todd Cello: Yes. So, hey, Andrew. This is Todd. Thanks for the question. [technical difficulty] specifically just looking within U.S. markets, financial services, and when we talk about the business, we talk about the four lines, we talk about mortgage, we talk about auto, we talk about credit card, and then we talk about consumer lending. So this is the break out of consumer lending. So specific to your question about credit card, predominantly, our revenues for credit cards are within the credit card line within financial services. So that's where you're going to find that at. Otherwise, as the FinTech branch out into new lines of business, we'll capture that revenue in the 50% piece of the pie. And then as it pertains to the short-term lending, I'm going to let Chris answer that question on the short-term lending what's in there.
Chris Cartwright: Yes. The short-term lenders would be a mix of the payday lenders, store front lenders, lenders that previously - the trade lines were aggregated by our FactorTrust business. The more down market, some title lending and the like.
Andrew Steinerman: And the buy now pay later is within FinTech, right?
Chris Cartwright: Yes. That's correct.
Operator: The next question is from Hamzah Mazari of Jefferies. Please go ahead.
Mario Cortellacci: This is Mario Cortellacci filling in for Hamzah. Just a quick question on the Fraud and ID business. Could you update us on what's the current exposure is in the portfolio as of today? And then, I guess, maybe you can also update us on how much more M&A you could do in that space and how that product currently is differentiated from its competitors? Obviously it's a very fragmented market, but we'd love to get an update there?
Chris Cartwright: Yes. So three parts to your question. We're having a touch of audio issues here the first part, were you asking regarding the exposure like the percentage of our portfolio revenue that is…
Mario Cortellacci: Correct. Yes.
Todd Cello: Yes. So, I'll answer that question, Hamzah, when you think about - and I'm sorry, it's not Hamzah, Mario, sorry. As far as what Fraud represents, just think of that as the second largest product category that TransUnion has globally. And obviously, that's behind just core credit. And so that's how to size that one.
Chris Cartwright: [technical difficulty] it's differentiation. I mean, going back to the basics, right. The knowledge that we have regarding the composition of consumers’ wallets their credits essentially as well as the public record and types we have by operating an investigated business based on public records in the U.S. gives us a great foundation for knowledge-based authentication, which is a traditional way of doing it. And we have tens of millions of dollars in business not only in the U.S., but around the world that we've developed over time. Today, using that as a foundation, we expanded through the acquisition of Trustev, but most importantly iovation and became one of the leading players in device-based authentication. We have seen billions of unique devices from almost every country around the world. And we have a reputational history [technical difficulty] which is shared across our network of consumers. Beyond that, we have invested and then added portfolio of fraud mitigation point solutions that we offer through our umbrella of TruValidate, which would include document uploading, fingerprint or biometric verification. The whole - the panoply of signals that comes into these fraud solutions ends up in an underlying data management layer where data scientist build fraud scoring and risk scoring algorithms. And then based on that we use our decisioning software to allow lenders to allow all types of clients to configure the actions they want to take based on the risk of an individual transaction. So net-net, it’s the range of services from the traditional [technical difficulty] and just the scope of the solution on top of this integrated data layer that's really are differentiation. We feel that we're one of the most complete and global players out there in the market.
Mario Cortellacci: And then just on the M&A piece, just further scaling that business given how fragmented the market is?
Chris Cartwright: Yes, the market is fragmented and we - look, there's a whole range of opportunity. The valuations are extremely high. We've got a great path to integrate and improve our current holdings through organic product development and we're investing in that. That said, we're constantly in the market. We're pursuing partnerships where appropriate. We would consider minority investments in capabilities that we feel are [technical difficulty] acquisition if we think it's going to drive growth and we can get a good return on.
Operator: The next question is from Gary Bisbee of Bank of America Securities. Please go ahead.
Gary Bisbee: Thanks for the color on FinTech and public sector. That was interesting. I just wanted to step back. And if we think of the next three to five years and delivering to the growth algorithm you've discussed, how would you say the composition of that growth is going to compare to the last five years? And I guess do you need a lot more singles and doubles to deliver given that there were a couple of outsized opportunities historically like trended data adoption and the massive step-up in innovation you had after the initial tech transformation? It gets - all things considered, how do you feel like the portfolio today is positioned to deliver over the next several years? Is it as well-positioned or sort of maybe if you could comment on what you think the top couple of opportunities are over multiyear forward-looking period. Thank you.
Chris Cartwright: Yes. Okay. Gary, I understand the question. And I mean, look, obviously, I’m somewhat biased in this answer, but I’m pretty optimistic about the platform we've got in total. I've been a lot of different information services businesses. And one of the biggest keys to success is growth in the end user markets that you serve. So, I would just start there and say that, one thing I love about our business is that even in the oldest of our lines of business, there's still a heck of a lot of innovation and a lot of end user growth, and we're well positioned to service that. The second thing I would say is that, this platform of new products from vintages kind of have been - is still in the early to mid-stages of adoption. I would bet you, Gary, that if we're still around five years from now doing this, you and I will still be talking about trended data adoption across parts of our portfolio, right? And I guarantee you we'll be talking about the expansion of scope and currency and accuracy of a boatload of alternative datasets that are going to help us score more consumers around the globe and give lending and other business institutions better insights to manage their marketing spend, their risk appetites, their portfolios generally. On top of that, you see us - and we're not alone in this pushing more into technological delivery of these data and insights through solutions like Prama and others [technical difficulty] to support a wider range of our customers’ workflows, their internal processes that are kind of industry standard that we can bring technological know-how and broader data and make these processes more standardized and more repeatable, right? So, I think those three things alone provide us with some really nice drivers of growth. On top of that, there's a lot of talent here that is motivated and incented to innovate and to grow based on the platform. We talk a lot about our growth playbook. We talk about the deep expertise we hold in the end user markets that we serve. That's going to produce new ideas and new innovation. And the fact that we're evolving our technology again through Project Rise means that we're going to be able to realize these ideas as new products faster and more flexibly than we think. And then on top of that, I would layer inorganic. Right? As Todd said, we've de-levered. We've got a healthy balance sheet. We have a clear strategy for growing and serving our customers, and they're going to be attractive opportunities that arise over this period that we will take advantage of.
Operator: The next question is from Andrew Nicholas of William Blair. Please go ahead.
Andrew Nicholas: Thanks for taking my question. In terms of the guidance for emerging verticals, I think that's the only piece of business where expectations are unchanged versus last quarter. So, I'm hoping you could kind of unpack that a bit further. Is that simply a consequence of those businesses being on the whole a bit less exposed to macro trends or have there been some factors within that segment that are offsetting some outperformance by maybe what you'd consider to be some of the more pro-cyclical components of that segment? Thanks.
Chris Cartwright: Good morning, Andrew. Thanks for the question. So on the emerging verticals, I guess I'd start off just looking at our - at our full-year guidance for 2021. So we are expecting that business to be up in the low double digit range. And within my prepared remarks earlier, I rattled through just a lot of the really good momentum that we have in many of those markets. And Chris in particular spent time talking about public sector in his remarks, and so that's definitely an area of strength for us. Insurance continues to also be an area of outsized growth for us as well, which I highlighted. But [technical difficulty] of some of the other verticals that we're in like tenant and employment screening are showing a nice rebound as well as just some of the other diversified markets that we - that we operate in. So all-in-all, I would say that the verticals that make up these group are performing well. Now the only area right now is health care which I also talked about in my remarks in that business has been a little bit slower to recover than the other vertical markets. And that's just simply a product of how strained the health care system was during the pandemic. Many of hospitals - of providers were focused on COVID care, and they were not focused on more of the elective procedures as just patients were not comfortable getting into that setting. But as we indicated, within the front-end of our business start to pick up meaningfully. So - I mean, just as a reminder, the front-end think of products like insurance eligibility. So that means patients are back, right. So, the volumes are ticking up nicely in that space. Also, estimization of care as well too is another area that's strong. And what happens is there's a lag effect for the back end of the revenue cycle management, probably three to four months. And the back end of our healthcare business is truly where TransUnion is differentiated. And we are expecting that business to return to growth. So, the way and I - and then - and just to reiterate, what I again I said early on in call, the business had its highest amount of bookings in the [technical difficulty] this is isn't line. This is bookings, right. So I mean that just gives us a lot of optimism. So - and as I said, we expect the business to return to growth. So if I were to say that's the only vertical within the emerging that's really holding us back. But we're very optimistic about where this business is - the trajectory of it and what it's setting up for in Q3, Q4, but more importantly 2022.
Todd Cello: Yes. I think that those are great points. And I just want to emphasize that during this period, the COVID period, the performance of the Emerging Verticals in total has been muted a little because healthcare with the mid digits negative - mid-single digits negative in the depths of the pandemic. But now that we're recovering, if you exclude healthcare and Todd gave a lot of useful detail on healthcare. The rest of the portfolio is recovering so did double digits, right? And of course, given my experience in U.S. markets, I know that a portion of those emerging markets are small business certainly relatively to our financial services one verticals. And they were particularly hard hit during the pandemic and I think it will take a little bit longer for them to recover. But that said, they are recovering and I think you're going to see acceleration in that in the quarters ahead.
Operator: The next question is from Toni Kaplan of Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks very much. It sounds like you're very confident in both the U.S. and international and you said that the improving environment we're seeing a lot of data points supporting that. But just wanted to understand how you're thinking about potential impact from the Delta variant. Are you just feeling it as a non-event or are you - have you included any haircut in the guidance? And I'm sure that's offset by better lending environment, but just want to get into the pieces a little bit more within the guidance. Thanks.
Chris Cartwright: Yes. Good question as we see the acceleration of new COVID cases due to the Delta variant. Well, first of all, obviously its terrible development for the country given the wide availability of vaccines. I think 60% of the country has received at least one shot. But as you know, the rate of inoculations decelerated a lot and we still have a bit of a philosophical divide. Personally, I'm hoping we're going to bridge that divide. I think you see politically opinions are now consistent around the importance of getting vaccinations, and a lot of folks in a lot of rural areas have shied away from that. How that all factors into our GDP - into our guidance? It’s not [technical difficulty] we’re - that were currently - we don’t currently believe we’re going to have to alter our guidance as a result of this. We just think it’s obviously an unfortunate thing for the country. And we hope it’s the situation that starts to remedy itself in the weeks and near months ahead.
Operator: The next question is from Shlomo Rosenbaum of Stifel. Please go ahead.
Shlomo Rosenbaum: Thank you for squeezing me in over here. Chris, the numbers look really good, and the momentum of the business seems like its really returning. And when I think about it, I'm thinking about more of standing back and looking at - how should we be thinking about this in terms of just returning back to normal in terms of the really good momentum? And one of the things that I think about here is kind of the risks on the regulatory side. And I was wondering if you could comment a little bit about that in terms of what are you seeing now over six months in with the change of administration? And particularly, the 10-Q discloses that the kind of NO-A letter from the CFPB and I was wondering if that had to do at all in your view with hey, there's a change of administration. Maybe they have kind of a different way of looking at things and if you kind of give us your thoughts on that and how we should think about it over the next near and intermediate term?
Chris Cartwright: Yes, sure Shlomo, let me unbundle that a little bit first, regarding the momentum in the business. I mean, clearly, the second quarter of 2021 reflects a step function improvement in the business due to underlying economic activity and some of our own market success. And I think we've detailed that quite a bit over the course of this conversation in our disclosure. Again, as Todd said that, I don’t think the market rebound is done for us. And I think there’s more gas in that in the U.S. and even more internationally given what said earlier about just the relative states of the pandemic in the different countries we serve. Now, pivoting to Washington, I mean yes, the current administration and various branches of government are keenly interested in providing consumer with accurate and accessible credit information that enables their participation in lending and the economy. And we're actively engaged in discussions explaining what we do, why it's accurate and effective, and how it supports the U.S. economy and the economies in the various markets that we serve. That said, their current philosophies, their positions about how to affect the best outcomes, where I think all parties are aligned is that we want to increase the scorable population by incorporating more sets of alternative data beyond traditional credit. The private sector, namely the three bureaus, because of market competition and desire for innovation, I believe have done a very good job in the recent years of expanding the pie of growing financial inclusion by migrating the trended data sets and incorporating a multitude of alternative data that is predictive of credit behavior. The other thing I feel the industry has done well is greatly broaden consumers’ access to their credit information. And their ability to understand it, to dispute it to – and receive offers – financial offers based on it. But that said look, I expect to remain actively engaged explaining, advocating and just discussing with legislators and regulators alike about the right balance and the best solution to serve the American public. The other thing I would mention is with regard to the NO-A letter as we disclosed. We received a notice and opportunity to respond and advice regarding our position on our compliance with the 2017 consent order that we entered into. I believe that we are in compliance and we're looking forward to an opportunity to discuss this with the regulator. We're going to continue to cooperate. We're going to continue to collaborate. And we hope to have this matter behind us in a relative winter.
Operator: The next question is from Ashish Sabadra from RBC. Please go ahead.
Ashish Sabadra: Thanks for talking my question and congrats on a solid results. I just wanted to follow-up on the comments in the prepared remarks regarding a top five issuer switching to VantageScore and increased traction for VantageScore? I was just wondering if you could provide any color on what's driving that increased traction? Are you seeing that across both traditional lenders as well as FinTech? Is it focused on any particular lending products or origination portfolio management or marketing? And just any thoughts on potential for inclusion or for GSEs to start accepting VantageScores for mortgages as well so any color on the traction for VantageScore? Thanks.
Chris Cartwright: Sure Ashish, you probably know this already, but there was an article that ran in the Wall Street Journal, I believe it was over the weekend or perhaps, I mean toward the end of last week, that I feel we did a good job covering the landscape of adoption of the VantageScore. So, I would refer you to that for some additional color beyond we’ll share here. The reason for the increasing adoption of the VantageScore is that it works really well. It's based on the merger of the three bureaus’ data, and it's been demonstrated time and again to score and score accurately the broadest number of consumers in the U.S. There have been a variety of obstacles to its full adoption. However, we for many years now, have said that Vantage is well, gaining broad acceptance typically in full flow management and also in direct-to-consumer offerings, but increasingly in loan origination. And I think the fact that the top five card issuer and – has adopted it for all loan origination as well as loan syndication, which was another barrier to acceptance. I think it’s a powerful – as a powerful comment on the state of thinking amongst top issuers and top lenders. As that article pointed out, from the lender in question is not the only lender in the top five that has adopted innovative score for origination and there are other banks that are thinking hard about this or in the process of migrating to Vantage.
Operator: The next question is from Andrew Jeffrey of Truist. Please go ahead.
Andrew Jeffrey: Appreciate you taking my question. Chris, I wonder if you could elaborate a little bit on some of your new data set initiatives, specifically income and employment, it sounds like you're making nice inroads on tenant screening. Wondered if you could speak more broadly to your ambitions and outlook for, I guess new data sets broadly, but the employment and verification piece specifically?
Chris Cartwright: Yes, look, starting there, we some time ago stood as a team to focus on charting our entry into this business. We there is a great opportunity to build a product and to migrate to the front of customer cascades during the origination process. We've struck relationships well one, a large payroll processor with financial account aggregators that get us access to deposit information. And the business development efforts to expand the breadth of our data archives are ongoing and will remain ongoing from this point forward, right. That said, as you know, we face a very large and entrenched competitor. We're not claiming at this point that our archives are as strong as theirs, certainly not. But they are competitive and we are winning some business, and we are super excited and putting a lot of wood behind this arrow, if you will. In terms of other data sets, as we’ve said previously, fraud is our second largest category worldwide. We think there’s an enormous growth potential there. We’re very interested in data around [technical difficulty] identifier, device reputation, e-commerce-related identifiers. And so, we’re in the market both gathering those directly to our own tool sets, but also licensing in that type of data and integrating it into our identity graphs. So we are kind of matching logic.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Aaron Hoffman for closing remarks.
Aaron Hoffman: Great, thank you Kate. Thanks everyone, for joining us this morning. As always, we really appreciate your time. And we're going to wrap up here because we know it's a very busy earnings day. And make sure you all have some time to digest our earnings as well as a lot of other companies. So again, thank you for your time. Have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.